Operator: Ladies and gentlemen, good afternoon. At this time, I'd like to welcome everyone to QuickLogic Corporation's Fourth Quarter and Fiscal Year 2020 Earnings Results Conference Call. As a reminder, today's call is being recorded for replay purposes through February 24, 2021. I would now like to turn the conference over to Mr. Jim Fanucchi of Darrow Associates. Mr. Fanucchi, please go ahead.
Jim Fanucchi: Thank you, Sherry and thanks to all of you for joining us. Our speakers today are Brian Faith, President and Chief Executive Officer; and Dr. Sue Cheung, Chief Financial Officer. Following current social distancing practices, management is doing this call from different locations today. As a reminder, some of the comments QuickLogic makes today are forward-looking statements that involve risks and uncertainties, including but not limited to, stated expectations relating to revenue from new and mature products; statements pertaining to QuickLogic's future stock performance, design activity and its ability to convert new design opportunities into production shipments; timing and market acceptance of its customers' products; schedule changes and projected production start dates that could impact the timing of shipments; the company's future evaluation systems; broadening the number of our ecosystem partners; and expected results and financial expectations for revenue, gross margin, operating expenses, profitability and cash. Actual results or trends may differ materially from those discussed today. For more detailed discussions of the risks, uncertainties and assumptions that could result in those differences, please refer to the risk factors discussed in QuickLogic's most recently filed periodic reports with the SEC. QuickLogic assumes no obligation to update any forward-looking statements or information, which speak as of their respective dates of any new information or future events. In today's call we will be reporting non-GAAP financial measures. You may refer to the earnings release we issued today for a detailed reconciliation of our GAAP to non-GAAP results and other financial statements. We have also posted an updated financial table on our IR web page that provides current and historical non-GAAP data. Please note, QuickLogic uses its Web site, the company blog, corporate Twitter account, Facebook page, and LinkedIn page as channels of distribution of information about its business. Such information may be deemed material information, and QuickLogic may use these channels to comply with its disclosure obligations under Regulation FD. A copy of the prepared remarks made on today's call will be posted at QuickLogic's IR web page shortly after the conclusion of today's earnings call. I would now like to turn the call over to Brian.
Brian Faith: Thank you, Jim. Good afternoon, everyone, and thank you all for joining our fourth quarter and fiscal 2020 financial results conference call. Before I discuss our quarterly results and review the status of our strategic initiatives, I'd like to take a moment to reflect on the past year. 2020 was full of challenges for all of us both personally and professionally. I want to personally thank the QuickLogic team for their tireless efforts as we work through the COVID-19 challenges. With the recent introduction of multiple COVID-19 vaccines and improvements in COVID-19 related treatments, there is finally a clear path to getting past the pandemic. 2020 was a transformational year for QuickLogic as we accelerated our move from being primarily a product company to a platform company, leveraging artificial intelligence and open source software, especially for our programmable logic technology and the multitude of devices that included. This move will significantly broaden our addressable markets and is expected to deliver improved financial results in fiscal 2021 and beyond. I am often asked to share more perspective on the evolution of our strategy. One way I describe the transformation is that we are pivoting away from high risk, high reward opportunities in the high volume consumer market and instead focusing on delivering a more scalable platform that is tailored for the masses. Implementing this change took an incredible shift in mindset here at QuickLogic, and I am proud of our team for being open minded, resilient and committed during this process. We persevered through the difficulties that came with 2020 and I believe we are now about to enter a period of sustained growth for the company. With that as the backdrop, I want to spend some time discussing the pillars of our expected financial improvement in fiscal 2021. There are three key areas that will drive our growth. The first and overarching one is artificial intelligence and machine learning or AI/ML for short. Second is our previously announced open source Programmable Logic collaboration with Google and Antmicro initially and now expanding rapidly to include several additional partners. And third are the initiatives behind our growing SaaS and IP licensing model. Let me start with an overview of our AI/ML initiative. To understand the size of this market, I would like to note that based on research by an international consulting firm, Edge AI alone will enable tens to hundreds of billions of units in the coming years, and potentially drive the semiconductor TAM north of $4 billion by 2025 just for edge inferencing. This opportunity is easy to see. For example, think of the devices inside a home. There are likely dozens of sensors already in place in devices, such as internet connected speakers, doorbells, cameras, thermostats, TVs, streaming media devices, numerous tablets and appliances to name just a few. The patented technology and deep domain expertise that QuickLogic and SensiML poccess, including FPGA technology, AI software and low powered MCUs, all fit within this market. We are addressing these opportunities using our end to end hardware and software solutions. Quite literally, we are restructuring our product development in all of these initiatives to make the products more accessible for large high growth markets, such as wearable, durables, smartphones, consumer electronics, industrial, military and IoT. Second, is our Programmable Logic collaboration with Google and Antmicro, called the QuickLogic open source Reconfigurable Computing or QORC initiative. We began work on this program in 2019 and publicly announced it in 2020. What we're doing with our QORC initiative is groundbreaking. This open source tool chain which sits on top of our hardware makes the technology more accessible to the masses and easier to use for software engineers. We are also providing support for our EOS S3 MCU and future support for new SOCs, FPGAs and eFPGA IP, which will be an important part of our revenue story starting in late 2021 or early 2022. The third pillar is around our SensiML SaaS and eFPGA IP business. The SensiML model is subscription based while the customer is using tool during development, with per unit royalties upon production shipment. Our eFPGA IP business model has an upfront license and backend royalties on units shipped. What that means is we have stickier revenue as customers start subscribing or using the IP and then as they ship in volume, we get the benefit of having the royalty coming in from the units shipped on those different products. This also has a positive impact on gross margins. We expect the SaaS part of our business will show significant growth in 2021. We continue to ramp our ecosystem partners, which includes STMicroelectronics, NXP, Nordic Semiconductor, ARM, and our authorized design partner OptimusLogic. Moreover, we have had deep engineering and business engagements with two additional large semiconductor companies in the recent two quarters, both of which we expect to announce as ecosystem partnerships with SensiML in the coming months. In December, we launched the SensiML Community Edition, expressly for the needs of experimenters, innovators and product R&D teams. The Community Edition provides the means to build fully functional edge IoT inference models using one’s own existing labeled or unlabeled datasets, newly captured sensor datasets using SensiML Data Capture Lab, or models built leveraging SensiML’s growing Data Depot library of example and community datasets. Since the start of the year, we have added more than 100 Community Edition users and expect the number to increase throughout the year. In addition, we are seeing a surge in new large enterprise pipeline activity. While the cycle to turn these enterprise opportunities can take several months, the size of these potential deals means even a few wins can contribute meaningful revenue. With that overview, I wanted to shift to a discussion of some key events in Q4 and the beginning of this year. Within our voice activated products program, we finally completed certification testing of our voice activated hearable reference design with Amazon’s AVS team. This has been a long and difficult process taking much longer than we ever thought. The delay was brought on by challenges working with the communications chip that was not ours. We also had to overcome COVID-19 related work restrictions that prevented our engineering team from working on site to solve the issues. In spite of these challenges, we persevered. In addition, another voice related project was completed towards the end of Q4. When combined, we are now confident that these voice enabled solutions, which are scheduled to come to market later this year, will materialize into revenue for us in the second half of fiscal 2021. During the quarter, we shipped a few hundred more QuickFeather Development kits, leading to approximately 700 by the end of the year. The pace accelerated with the Hackster.io Climate Change challenge and has steadily continued during the first quarter. Our goal for 2021 is to ship more than 2,000 dev kits, continuing the proliferation of our devices and software into the masses. Toward that dev kits goal, we are in the process of launching three new dev kits. The first is launching this week in conjunction with our Amazon AVS Certification, called the QuickFeather AVS reference design, which can be ordered from the QuickLogic Web site. Shortly, we will be launching the next generation of QuickFeather, called SparkFun Thing Plus, QuickLogic EOS S3. As the name would indicate, this dev kit is being manufactured and sold by SparkFun, a very popular online retailer of electronic dev kits and components. This new dev kit will launch exclusively on Crowd Supply after which QuickLogic, as well as SparkFun, will also distribute it through our collective worldwide distribution channels. SparkFun has a diverse set of sensor boards that can connect seamlessly with the Thing Plus dev kit, making it easier for our customers to build proofs of concept for AI/ML enabled systems using EOS S3 and SensiML. And last but certainly not least, we announced our smallest dev kit ever last week, called Qomu. Qomu is a tiny form factor dev kit that brings the power and capability of our EOS S3 SoC into a USB type-A port. It launched exclusively on Crowd Supply and will become available on QuickLogic’s Web site after the Crowd Supply campaign ends in about a month. All of these dev kits are enabled by and optimized for our QORC initiative. The kits are supported by a wide variety of vendor supported open source development tools, including Zephyr, FreeRTOS, SymbiFlow and Renode, which broadens access and enables designers to develop applications virtually anywhere. In addition, these development kits should drive EOS S3 SoC and SensiML revenue in 2021 as customers engage and turn them into actual products with real volume behind them. The momentum in our smartphone business continues with the addition of another two 5G enabled smartphones. 2020 was a very good year for our smartphone business as we exited 2020 with a total of 10, up from three at the start of the year. These new phone launches should lead to much stronger revenue in 2021 and beyond for the smartphone segment for us. In our eFPGA IP business, one of our early engagements has recently taped out their test chip. Barring any geopolitical related risks, we could see a full eFPGA IP license in the first half of this year from this customer. Test chips are back now and the customer’s testing is progressing. During the past few conference calls, as we have not gone into detail on our IP strategy, and I'll share a little more today. QuickLogic and the University of Utah or UofU initiated discussions approximately 18 months ago to research how we can integrate advanced semiconductor layout automation techniques into QuickLogic’s FPGA IP compiler tool, called Borealis. This endeavor sought to leverage UofU's research in open source automation techniques, which is DARPA funded research as part of the Electronics Resurgence Initiative, and QuickLogic's deep domain expertise in commercializing FPGA technology across numerous foundries and process nodes with high reliability, quality and manufacturing and volume. The results are game changing. What previously took 18 months and millions of dollars now has been reduced to approximately three months and a fraction of the cost. With this significant overhaul to Borealis complete, QuickLogic was able to go from customer engagement to new IP delivery in record time and close a new production IP license in this quarter. There will be more we can share on this in the future. Lastly, in our mature segment, the COVID-19-related issues remain a challenge, primarily for the civilian aerospace sector. While we did see a seasonal uptick in Q4 revenue, there has been no change to our outlook for mature product revenue and continue to expect it will be flattish with 2020. I know I have covered several items but the intent is to offer context around the many pieces of QuickLogic that I believe will lead to better financial performance starting this year. As I've said before, if you believe that AI and machine learning is here to stay, if you agree with the research that programmable logic brings value in these use cases where algorithms are evolving faster than ASIC technology can keep pace, then I think you will believe that QuickLogic is a very strong opportunity to take advantage of this evolving market. I believe the wind is at our back, and I'm personally very excited about where we are and what 2021 is going to bring on all these different fronts. Before we review the financial results, as many of you know, today is Sue’s last day with the company. I want to thank Sue for her important contribution since joining the company in 2007 and for her guidance as our Chief Financial Officer since 2016. She was a partner to me as we started the transition of our business and was an asset to the company during the challenges COVID-19 brought. Sue leaves us in a sound financial position. All of us at the company thank Sue for her leadership, partnership and friendship and wish her the best going forward. Starting tomorrow, Anthony Contos assumes the position of Chief Accounting Officer. Over the span of his 30 year career, Anthony has held many senior level accounting and finance related positions. I have been impressed with his efforts to date, and I am confident he will build on the foundation Sue has created. With that, I will turn the call over to Sue.
Sue Cheung: Thank you, Brian. Being that this is my last earnings call with the company and after almost 14 years with QuickLogic, I'm glad to have this opportunity to let everyone know how proud I am of what we have achieved, especially during the translation to a more software open source and IP focused company, and managing the business through the challenges brought on by the COVID pandemic. QuickLogic is well positioned to improve in 2021, and I'm confident their best days are yet to come. Anthony and I have been working together since his arrival last month. I'm confident he will be a great resource for the company as he assumes the leadership of QuickLogic's finance team. Now moving on to the fourth quarter results. For the fourth quarter of fiscal 2020, revenue was $2.5 million. This compares with revenue of $1.8 million in Q3 of 2020 and $2.9 million in the fourth quarter of 2019. Within Q4 guidance, within Q4 revenue, sales of new products were $837,000. This compares with $639,000 in Q3 and $710,000 in the fourth quarter of 2019. Our mature product revenue was $1.7 million compared with $1.1 million last quarter and $2.2 million in Q4 last year. In the fourth quarter, we have two customers which accounted for 10% or greater of our sales. Non-GAAP gross margin in Q4 was 61.5% and compared with 63.9% in the prior quarter, and 65.6% in the same quarter of 2019. Our Q4 gross margin was below our guidance range due to an additional E&O inventory reserve for our legacy display bridge product. This impacted gross margin by about 6 percentage points. Also, in Q4 last year, the usually strong gross margin was mostly due to the higher mix of mature product revenue and additional IT license revenue. Non-GAAP operating expenses for Q4 were approximately $2.9 million. This compares with $2.6 million in Q3 and $4.2 million in the fourth quarter of last year. As I have noted in recent calls, we believe operating expenses will remain in the low $3 million range for the foreseeable future. Within our Q4 operating expenses, R&D was $1.6 million and SG&A was $1.3 million. This compares with R&D and SG&A both at $1.3 million in Q3 and $2.2 million and $1.9 million, respectively, in Q4 last year. The net total for other income expenses and taxes in Q4 was a charge of $76,000 compared with a charge of $90,000 in Q3 and a charge of $135,000 in the fourth quarter last year. Non-GAAP net loss was $1.7 million or a loss of $0.15 per share. This were the same amount in Q3 and compared with a net loss of $2.4 million or $0.29 per share in the fourth quarter of last year. The per share calculation for both periods reflects that reverse stock split that will be effective December 2019. The total cash at the end of Q4 was $22.7 million compared with $24.7 million at the end of last quarter. The cash balances also include $15 million draw from the revolving line of credit. One other update related to our cash. You'll remember that in Q2 2020, we received $1.2 million PPP loan. Just recently, we were notified by the bank that our PPP loans forgiveness application has been approved by the SBA. We will reclass the $1.2 million loan balance from a liability on the balance sheet to other gains on the P&L in the first quarter of 2021. Now turning to the full year fiscal 2020 results. Total revenue was $8.6 million compared with $10.3 million in fiscal 2019. New product revenue was $2.8 million compared with $3.1 million in the prior year. Mature product revenue was $5.9 million compared with $7.2 million in fiscal 2019. For 2020, we had three customers that each accounted for greater than 10% of our total sales. Gross margin for 2020 was 51.1% compared with 58% in 2019. Lower total revenue and changing product mix were the main reasons for the decline in gross margin. Due to the cost reduction measures we took prior to COVID-19 pandemic, our operating expenses for the year were $12.8 million, down significantly from $18.2 million in 2019. The lower operating expenses helped our net loss for 2020 decline to $8.7 million or $0.88 per share compared with $12.3 million or $1.60 per share for 2019. The weighted average share count used to calculate EPS was $9.8 million for 2020 and $7.7 million for 2019. Now moving to our forecast for the first quarter of fiscal 2021, which will end on March 28, 2021. The revenue guidance for Q1 is $2.5 million plus or minus 15%. We believe total revenue will be comprised of $1.2 million and $1.3 million for new product and mature product revenue. Brian will have some additional comments on potential upside to our guidance and outlook in a few moments. Based on the expected revenue mix, non-GAAP gross margin in the quarter will be approximately 56% plus or minus 5%. Our non-GAAP operating expenses will be approximately $3.3 million plus or minus $300,000. The higher OpEx number taken into account the normal payroll tax reset at the beginning of each year. At the midpoint of the Q1 range, R&D should be $1.8 million and SG&A $1.5 million. After interest expense, other income and taxes and with the onetime reclassification of the $1.2 million gain from the PPP loan forgiveness, at the midpoint, we currently forecast our non-GAAP net loss will improve to approximately $800,000 or a net loss of $0.07 per share based on roughly 11.5 million shares outstanding. Most of the difference between our GAAP and non-GAAP results is our stock based compensation expense. We expect the stock based comp to be in the range of $800,000 for the next few quarters. For the balance sheet, in Q1, we expect the cash usage to decline from Q4 and being in the range of $1 million to $1.5 million. Cash usage should decline further over the course of 2021 due to expected improvement to both revenue and gross margin. With that, let me now turn the call back over to Brian for his closing remarks.
Brian Faith: Thank you, Sue. Related to the guidance and outlook Sue provided, we are currently in the process of formalizing a strategic initiative with multiple partners. Depending on our final determination of how this is treated, there could be an upside to the first quarter revenue by up to 25% above the midpoint of the guidance range. Alternatively, we could recognize the initiative as an offset to R&D. If this is the determination, we would instead see savings come in the operating expense line of up to 20% from the $3.3 million midpoint. This initiative would also decrease cash usage by the entire amount. We chose not to make any assumptions in the Q1 guidance and instead took a conservative approach. As of today, we currently expect the determination not later than when we report our first quarter results in early May, and we'll update investors as soon as the determination is final. Furthermore, we believe there will be additional opportunities around this strategic initiative throughout 2021, and we'll provide updates once future events are finalized. In summary, as we look back on what we have accomplished to transition QuickLogic, particularly in the context of the COVID-19 pandemic, I could not be prouder of what our team has achieved. We have realigned the company not just in terms of having the right resources to execute on the open source initiative, but also significantly reducing our cost structure, making profitability before the end of 2021 much more attainable. With what we have in place and the opportunities that are opening up for new business, it is clear we have made tremendous progress on the continued evolution of QuickLogic. I fully expect that the efforts we put in during 2020 will deliver the financial goals I have outlined and should put us on a path to sustained profitability starting at the end of this year. I would again like to thank our many stakeholders, including our customers, partners and QuickLogic team members for their continued support during these extraordinary and challenging times. That completes our prepared remarks. Operator, I would now like to open the call for questions.
Jim Fanucchi: Sherry, we're ready for the Q&A session now. [Technical Difficulty]
Operator: The first question comes from Suji Desilva from Roth Capital.
SujiDesilva: So Brian I’ve a lot to ask you, but maybe the last thing you mentioned, the strategic initiative, which could show revenue or R&D upside. Is this the first time you're mentioning this or is this something you've talked about in the past? Just want to try to put it in the context of the multiple things you've talked about over the last few quarters.
BrianFaith: It's something we've been working on for several quarters, but I have not mentioned one piece of it until today.
SujiDesilva: And then as we look at sort of the '21 revenue and margins, what are reasonable expectations? Typically, it will give us a kind of year-over-year or an exit rate run rate for potential for '21. Is that something you'd be willing to give at this point for margin and revenue?
BrianFaith: Yes, from an outlook point of view, and I'll take this since this is Sue's last call. We're still looking in the mid-teens for this year, low to mid-teens on the revenue line, which should be up very healthily over last year in terms of revenue. And then gross margins, we are looking in the 60s for the year. This is going to be increasing quarter-over-quarter as we start to book in more revenue from SensiML and more IP deals as part of the revenue profile, which has gross margin uplift.
SujiDesilva: And guiding new product revenue, $1.2 million, it hasn't seen that level since 2018, but I know there's also been a composition shift in the new revenue. So if you could kind of walk us through kind of then to now? And is this mostly the Japan smartphone or what are the other elements of new revenue that are getting you back to $1.2 million?
BrianFaith: So from a single customer point of view, the Japan smartphone is definitely the largest driver, really sort of firing on all cylinders with that customer now. From the prepared remarks, I also talked about an IP deal that we've been able to close within the quarter, that shows up as new revenue, which we didn't have a big-IP deal in the fourth quarter. So you see that uplift there. We do see some increase in SensiML from last quarter as well. And then there's some other FPGA-based products that fall into that same new product category for us that would be contributing in Q1 also. So yes, noticeable increase from last quarter. And I think it's really just firing on all cylinders on all these different product initiatives finally starting to take hold.
SujiDesilva: And lastly, can you talk about the IP deals and maybe help size what a typical customer deal would be? And is it all upfront versus recurring? Just to understand how the revenue models in?
BrianFaith: Yes. So the revenue model for the IP is an upfront license and back in royalties. Typically, our upfront fee is in the few hundred thousand dollar range, it could go higher depending on the process node. And then there's royalties on unit shipped once they've actually started shipping die or products that have the IP in that. And those are basically two knobs that we have to turn on any deal. So if somebody needs something lower on the front end, we can do more royalty. If they need lower cost of goods then we can dial down royalty and more upfront. So we have two levers that we can play with there. But fundamentally, there's both of those components. In addition, there's also support maintenance and that really sort of offsets our upfront cost and supporting a customer with the IP and getting it integrated correctly and everything works in their chip before they tape out.
Operator: So the next question comes from Richard Shannon from Craig-Hallum.
RichardShannon: I want to follow-up on Suji's first question, and Brian, also one of your last comments and try to tie to what I think I heard earlier. Is this potential upside from the strategic initiative, is this related to the, if I got my notes right here, deep engagement with couple of large semi-con players in the last two quarters. Is that specifically what you're referring to?
BrianFaith: No, those are different. The two large different semiconductor players I was talking about are very specific to SensiML and their expansion was more large microcontroller partners from an ecosystem go-to-market point of view. My comments were related to parties independent of that.
RichardShannon: I guess we'll probably hear more about that. We're probably not going to talk about it. So I'll move on here. Brian, you made some interesting comments regarding -- I think you titled the section in your comments about kind of business model details and embedded FPGA, and you talked about some tool chain benefits here. Can you kind of give us a sense of the significance of this and how did it play into this this larger IP deal that you're seeing or going to recognize this quarter? What does that mean for your pipeline going forward?
BrianFaith: Well, it's huge actually. Anytime you can get a 10x improvement on something, it's pretty big. It really allows us a lot more flexibility in customers that we engage because we can do so with less resources and less time, which really means you can tackle more opportunities at the same time. It also changes the economics for the customer, such that we can still get our target gross margins are better. And again, we can be engaging more customers at once with that new business model. So as I said in the the prepared remarks, I'll be sharing more details about this and I think it will become more apparent in the future. For now, because of competitive reasons, I'm not going to go into details because I like the competitive moat we have ourselves in at the moment. But it is groundbreaking what we've been able to do through that research and through that project over the last year and half. If I elaborate a little bit more, if you think about in the past and you've seen us talk about different IP nodes that we've ported to, they typically have like a 12 to 18 month cadence for a new process node that we bring on. And so that's an engineering team over the course of a year, year and half and all their salaries and tools expenses and test chips and all those things wrapped up. So really it changes the economics if we can do that with such speed now and agility and that's what we're going to be able to do. So I think you're going to start to see a lot more from us on this IP initiative because of the results of this whole thing.
RichardShannon: Brian, maybe if you could -- you probably correct me on my time frames here, but related to QuickFeather here, you've been and QORC, you have been in the market for, I think, a little over a couple of quarters now. Obviously, early stage here. It sounds like you're very excited, shipped a lot of dev kits so far and have goals for big goals here for this year. Maybe you can kind of share some early success stories, even if they're interim level where that leads you to excitement, any applications or any way to think about where you’re really seeing some -- both interesting applications as well as ones that can drive some volume for you over time.
BrianFaith: Yes. So I'll make some broad brush statements, and then I'll sort of narrow in on one specific example. So just broad brush, there are a lot of folks that are buying these dev kits that are doing things around wearable computing or around industrial IoT applications, because there are sensors on the board already and because we have the integration with SensiML. And they really do span all the segments I was referring to earlier, so smartphones, wearables, hearables, IoT applications. But I think a true testament to what we're doing and why this is a very different QuickLogic in a different time in QuickLogic. There's this design partner of ours Optimus Logic, I'm going to give them some airtime from your question here. So they're our first authorized design partner. They were a key partner in getting all of the software drivers in middleware done for the Japanese smartphone customer. So they got to know the EOS S3 in some level of detail, and they've actually intersected now on top of all this open source software development we have. They have taken that and they have run with it. So you can stay tuned for some announcements along this area, but they basically outlined an entire set of modules that you can then integrate into other systems that have the EOS S3 on it. And in some cases, sensors, in some cases, not they have wearable computing reference designs that are form factor and ready for their end customers to bring to market. And not only that but then they have a lot of ties into different entities across Asia. And one of which is just the fact that they're going to be able to get these dev kits into a lot of the universities across India. And a lot of people say, well, yes, universities, you buy 100 here or 100 there. But all of the work at those universities do actually makes the product and the software better for the other customers in the market, the professional customers that are going to take volume out of that. And as an example, through a collaboration between Optimus and IIT Hyderabad, they basically took these open source tools and they got it running on an Android smartphone and a Raspberry Pi. So think about that for a second. How many people in the world have an Android smartphone, a lot, billions, right? It's incredible to think about how many phones that are out there now with people that can actually do design with our products that couldn't have done that before that. And so that's just, I think, a testament to the open source actually you can tap into that collective intellect of the community and the desire to make these products more for the masses, and they're doing that. And I think, again, stay tuned for actual announcements with Optimus and real products that are going to be shipping in volume, it's going to be imminent. But that, I think, is a perfect example of a success story starting from QuickFeather.
RichardShannon: I guess my last question, I'll jump on the line here on SensiML. I think just going through my notes here, you mentioned stuff about some engagement with large enterprises and cycle time to turn the license has taken a few times, but it sounds like you're approaching some meaningful wins here. Maybe you can discuss how that's going?
BrianFaith: Yes. So I would acknowledge definitely, it's still a slower ramp than what we anticipated a year ago. But I think now with some of the fundamental changes that SensiML has gone through as far as go to market strategy goes, we're starting to see some improvements there. So one is just sort of simplifying the offering, if you will, for the community addition. The other on the enterprise side, if I look at the list and have it in front of me, there's a lot of things around wearable computing, like AR, VR watches that you're wanting to do more gestures based on AI/ML. And we're also starting to see an uptick in, I would say, both consumer IoT and industrial IoT, where you're using just a lot of different sensors. So vibration sensors, microphones, weight sensors, strain gages, all these different sensors that people will need to build algorithms around, but they just don't want to do that from scratch. And so a lot of these enterprises, they are very large. They're Fortune 500 type companies that are now deeply engaged with SensiML. And one thing I will say, in the past, what might limit the progress or the rate at which we can close an enterprise deal is sort of limited by how soon can the enterprise customer actually get hardware that they can build a model from. And so that's why doing these different reference designs with these microcontroller companies as well as what OptimusLogic is doing on the wearable side with a form factor wearable. You can sort of compress time now and get customers to start collecting data and building the AI models before their target hardware is actually done. And I think that that change in go to market strategy was for the second half of last year. And I think, immediately, now we're starting to see some improvements in the hit rate on that. And just in terms of the community addition, I mean, I said in the call, more than 100 folks added to that, that was through the first six weeks of the quarter. So we're at a pretty good clip of multiple per day coming on to the platform, not all of which will become large enterprise deals. But I've definitely seen an uptick in the rate of large enterprise companies approaching us and saying, hey, how can I evaluate that? And I think that's a market change from where we were last year.
Operator: [Operator Instructions] The next question comes from Martin Yang from Oppenheimer.
MartinYang: Sue, best of luck on your next position. Brian, I want to ask about your community engagement effort, I think you have been pretty active on different conferences as well as interviews. And are those public appearances helpful in your promoting the QuickFeather development board as well as your open source initiatives ,and how are the community response so far?
BrianFaith: So one of our company goals this year is to ensure that, that we're seen as a thought leader in that space because we are the first programmable company to really jump in and embrace this whole open source initiative. And so part of that is making sure that we're out there speaking, and doing our views, podcasts, all those things. Before, we'd have to pay to do those, right? We'd have to pair way into those pay to play events, all of these that we've been doing are basically, we're invited because they see that we are doing something different, invite us for free, participated in these things and we've seen a huge increase. I mean just, if you look at my LinkedIn alone, how many people are viewing these posts on these different events and come into the company blog and watching or reading these different things, it's a huge increase from last year. And that's actually translated into direct opportunities now where people are approaching me about, hey, how can we use QuickFeather and SensiML work? Hey, this open source FPGA thing is great, can we use it in this type of wearable or IoT example product? And I know that we can't directly correlate LinkedIn stuff to revenue. But I can tell you it's a funnel. It's a numbers game. And so the work that come in the top of the funnel, the more that come out the bottom. And these are very highly qualified opportunities coming in now because they're attending these events on their own accord, and they're seeing us there and we're following up afterwards. So I think again, it's a huge change. A lot of my time now is spent doing those things, which I love doing because you get to meet a lot of these great potential customers that we can convert to revenues. So you're going to continue to see more of that from us. Probably on a monthly cadence, you're going to see us out there evangelizing what we're doing. It's just so that we're -- everybody understands what we're doing.
MartinYang: That's great. I look forward to those events upcoming. Can you also talk about what are you seeing in the hearable space? I think, overall, all the related applications and hardware are still very, have a very strong growth momentum. Where are you seeing your opportunity lies, specifically for this year and where are the newer design or customer engagement take you regarding the designs that leverage your products?
BrianFaith: So historically, we've talked about hearables, hearables being Bluetooth accessories that you wear on your head that have always on voice. And I think that now that we're finally able to say that we're Amazon certified and we're going to launch that tomorrow, that's going to continue moving along some of these hearable opportunities that we've already been cultivating for some time. And I think there will be some revenue from that in the second half. Another hearables application voice activated is related to remote controls, but we didn't give a lot of airtime to you today, but that was the second always listening application that I was alluding to, and I do see that going to production this year as well. And then interestingly enough, now that we have a microphone on QuickFeather and we have a couple of voice partners on the software side, we are seeing folks now coming to us and actually asking for what we had said would happen like two years ago, it took us a while to go here. But integrating motion AI for wearables, and I'm talking about risk warn wearables or headwind wearables, with the ability to do voice commands. And moreover, there's also opportunities now in line powered consumer IoT for the same type of thing where you're integrating voice commands into something that has to be always on or always listening, but maybe not necessarily battery powered. And I think a lot of that now is just -- we're getting a lot more traction here because people are starting to recognize what we're doing and the voice partners are having an easier time porting to the platform because of the open source software nature of our offering. So there isn't going to be one big application area this year that stands out from the rest in terms of voice. I think it is going to be fairly split across the hearables that we had talked about in the last couple of years, where we're competing, where they're using voice for control and then some IoT type applications for consumer IoT. And by the way on the wearable side, we are seeing more interest now in sort of these wearables around elder care or children, especially, I think this is sort of brought on by the pandemic. If any of us have elderly relatives that we need to -- we're wondering about. Are they active? Are they moving? Have they fallen down? A lot of that can be done with -- over the off the shelf motion sensors and AI software. And so we have a couple of wins already with wearables in that area that are also leveraging the SensiML capability for that as well as integrating voice at the same time, to get back to your question. So yes, it's pretty diverse, which I think is a good thing and several that should hit in production this year.
Operator: You next question comes from Rick Neaton from Rivershore.
RickNeaton: Sue, thank you for your assistance over the past four and half years and good luck in your new position Inland, and I hope you're successful there as you were at Quick. A couple of questions since most have been asked already. Brian, when you spoke about the total addressable market that you're trying to serve in your prepared remarks or the total addressable market. What portion of that is QuickLogic trying to serve initially with its new strategy?
BrianFaith: Well, I'd say all of the edge inferencing is part of our certain available market, be it sort of the IP [licensing] or the chip sales.
RickNeaton: When you spoke about the ecosystem partnership and that was in relation to SensiML and some partners, I believe. Is that a system -- are those partnerships going to just carry the software or are they going to generate revenue through SensiML, through making SensiML the default software that runs on a particular item?
BrianFaith: In the case of all of these semiconductor partners, the typical business model is that they have the software running on their dev kits. They arm their sales force with those dev kits to show customers. And so we get inbound needs from that from qualified customers that it’s incumbent on us to close that deal and we get the revenue from that. So there's no like prepayment of revenue from microcontroller guys. Typically, they show the kits, they show the solution, they showcase that at conferences, we get inbound these and then we close.
RickNeaton: Were any of your prepared remarks today addressing the COVID app initiative that you had talked about in a couple of previous conference calls?
BrianFaith: No, they weren't. But I'd be happy to elaborate now that we're in the Q&A section. So that initiative, we have built models for the COVID cost detector. They're pretty accurate. The model with the temperature sensing, which is the very first part of it that we had discussed in different webinars with the consortium of companies, that's actually at a specific university right now in the US, wrapping up the research on that. And then at some point, they need to go for IRB approval. There is just an actual end customer lined up for this through one of the consortium partners. But I think that they need to see that approval process before they would go to production. Interestingly enough, that work has actually opened up a lot of other opportunities with customers that are looking at sound classification, with microphone data and using AI/ML techniques like SensiML to build models around that. So I'm still confident that we will see some revenue from that first opportunity. But it's also really blossomed into much more than that as a result of all the airtime that that initiative got.
RickNeaton: Okay. Thanks very much. Appreciate your time.
BrianFaith: Thank you, Rick. Okay. So I think the operator is not able to close the side, so I'm going to do that for us. Thank you for participating in today's call and continued support. We look forward to speaking with you again when we report our first quarter results in May. And I appreciate your patience as we went through the technical difficulties today. Thank you, and have a great day.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant evening.